Operator: Good day ladies and gentlemen, and welcome to the Q3 2016 Curis, Inc. Earnings Conference Call. At this time all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions]. I would now like to turn the call over to James Dentzer, Chief Financial and Chief Administrative Officer. Please go ahead.
James Dentzer: Thank you, Operator, and welcome to Curis' third quarter 2016 earnings call. Before we begin, I would like to encourage everyone to go to the Investors Section of Curis.com to find our earnings press release and related financial tables. I would also like to remind everyone that we will be making forward-looking statements, which are based on our current expectations and beliefs. These statements are subject to certain risks and uncertainties and our actual results may differ materially. I encourage you to consult our SEC filings for additional detail. Now I will turn the call over to our President and CEO, Dr. Ali Fattaey.
Ali Fattaey: Thank you, Jim and morning everyone, and thank you for joining us today. It is my pleasure to provide you an update on Curis, and our progress in developing multiple innovative drugs for patients with cancer, including our 2 most advanced programs; CA170 and CUDC-907. First, I would like to discuss the CA170, which is the first orally administered small molecule checkpoint antagonist that was discovered in our collaboration with Aurigene and targets the PD-1 Ligands and VISTA immune checkpoints, and is now in clinical development. We recently presented pre-clinical findings from the CA170 program at the AACR Tumor Immunology and Immunotherapy conference last month, describing how CA170 treatment in tumor bearing mice resulted in increased numbers of activated T-cells and increased expression of T-cell markers of activation when measured in mouse blood samples, in tumor draining lymph nodes, and in excised tumor samples. As we have previously shown in these same pre-clinical mouse models and in our studies, CA170 also resulted in significant anti-tumor activity when compared to anti PD-1 antibodies that were tested in the same studies. With regards to CA170 clinical development, patient dosing with oral CA170 in the clinic -- excuse me, began in June of this year, and has progressed through multiple dose levels with no safety events thus far that marred limiting those or continued treatment of ongoing patients. At each dose level examined, we continue to analyze patient samples to assess markers of immune modulation, including some of the same markers that we assessed in our pre-clinical studies. We also monitor extensively for safety and any signals of clinical activity as well as drug exposure and analysis of PK parameters of oral CA170. We anticipate CA170’s behavior in patients to be comparable to what we have observed in multiple non-clinical animal models. We intend to use this data to guide the selection of recommended dose in the expansion phase of this study. We look forward to discussing this data at upcoming scientific conferences and upon initiation of the expansion stage, which is currently expected in 2017. In the expansion stage, we expect to enroll patients who are naïve to anti PD-1 or PDL-1 treatment, with specific tumor types that have been shown to benefit from checkpoint targeting therapy. To effectively enroll such patients, we are opening the CA170 trial in multiple centers in Europe and in Asia, where access to approved checkpoint targeting drugs in these tumors types is limited. While anti PD-1, PDL-1 treatment naive patients are of primary interest, we also intend to enroll patients previously treated with these treatments as CA170 targets the VISTA checkpoint as well as the PD Ligands. If successful in demonstrating clinical benefit in this pre-treated patient population, it may allow for a relatively rapid path to registration for CA170. Now I'd like to turn to discussion for CUDC-907, which is being investigated as a monotherapy in an ongoing phase 2 trial in up to 60 patients with relapse refractory DLBCL to assess its efficacy specifically in DLBCL patients with MYC altered cancers. The primary endpoint of this study is overall objective response rate, with secondary endpoint of durability of clinical benefit among other end points. Based on an analysis of published historical trial results, we anticipate that a response rate in the phase 2 trial that is similar to the overall response rate that we have observed in patients with the DLBCL in our Phase 1 trial, combined with demonstrable durability of the clinical benefit, should provide the basis for discussion with the FDA. For reference, the historical median progression free survival duration in this population of patients is approximately 3 months. Our Phase 2 trial is currently open and enrolling patients in multiple centers in the US and in Europe. We expect to analyze sufficient clinical data from this study in the first half of 2017, and provided sufficient clinical benefit is observed, we expect to request a meeting with the FDA to discuss a potential path for accelerated approval of CUDC-907 monotherapy in this indication. To summarize the results from the Phase 1 trial of CUDC-907, in a total of 88 patients with advanced lymphoma or multiple myeloma that were enrolled in the study, among the 25 patients with relapsed refractory DLBCL treated with CUDC-907 monotherapy, as we have noted before, 3 patients achieve complete response, 5 achieved partial responses, and 4 achieved stable disease for an overall response rate of approximately 30%, and a disease control rate of approximately 50%. A retrospective analysis of these data confirm that among the 5 patients with known MYC altered DLBCL disease, four achieved objectives responses, including all three patients who achieved the complete response on monotherapy. Now, to comment briefly on our pre-clinical pipeline. Last month we licensed the second immunooncology program in our partnership with Aurigene. This program is focused on generating and optimizing oral small molecule candidates that target the PD1 and 10-3 immune checkpoint pathways. We've also identified CA-327 as the development candidate in this program and have initiated IND-enabling studies using this compound, with the intent of filing our IND by approximately mid-2017. Finally, I'll turn to Erivedge, which is commercialized globally by our collaboration partners, Genentech and Roche, for the treatment of advanced basal cell carcinoma. We are pleased to note that Roche and Genentech continue with their commitment to develop Erivedge and indications basal phase cell carcinoma, where they are now conducting two exploratory combination therapy trials to treating patients with. IPF and myelofibrosis. With that, I will now turn the call over to our CFO, Jim Dentzer for a discussion of our financial results. Jim?
James Dentzer: Thank you, Ali. For the quarter ended September 30, 2016, we reported a net loss of $28.3 million or $0.21 per basic and diluted share, as compared to a net loss of $5.5 million, or $0.04 per basic and diluted share for the same prior year period. Revenues were $1.8 million and $2.0 million for the third quarter of 2016 and 2015 respectively. Revenues for both periods comprised primarily royalty revenues recorded on Genentech and Roche's net sales of Erivedge. Operating expenses were $29.5 million for the third quarter of 2016, as compared to $6.9 million for the same period in 2015. Operating expenses and net loss for the 3 months ended September 30, 2016, include a non-cash in-process research and development charge of $18 million related to the amendment of Curis’s license agreement with Aurigene. Research and development expenses were $6.8 million for the third quarter of 2016, as compared to $4.0 million for the same period in 2015. The increase in research and development expense was primarily due to increased direct spending over the prior year period related to outside services supporting the ongoing clinical activities of CUDC-907 and direct costs for programs under the Aurigene collaboration. Finally, employee related expenses increased over the prior year, primarily due to additional headcount. General and administrative expenses were $4.7 million for the third quarter of 2016, as compared to $2.8 million for the same period in 2015. The increase in general and administrative expenses was driven primarily by higher personnel costs and stock based compensation expense, due to increased headcount and an increase in legal service costs. Other expense was $0.6 million for the third quarter of 2016, as compared to $0.7 million for the same period in 2015. Other expense for both periods primarily consisted of interest expense related to the loan made by BioPharma II to Curis Royalty, a wholly owned subsidiary of Curis. As of September 30, 2016, Curis's cash, cash equivalents, marketable securities and investments totaled $53.4 million and there were approximately 140.0 million shares of common stock outstanding. The increase in common stock outstanding reflects the Q3 investment in Curis by our collaboration partner, Aurigene. As a reminder, Curis issued 10.2 million shares of Curis’ stock to Aurigene, in lieu of receiving $24.5 million of milestone and other payments, which represented a 39% premium to the closing stock price at the time of the investment. With that we’ll open the call for questions.
Operator: [Operator Instructions] Our first question comes from Adnan Butt with RBC Capital Markets. Your line is now open.
Adnan Butt: Good morning, and thanks for the question. First on CA170, could you be a little more specific about when in 2017 you might expect to reach a decision on the expansion cohort?
Ali Fattaey : Good morning Adnan. And yes, our current expectation is that for the remainder of 2016, we are very likely to continue with our dose escalation and within the first half of 2017 is our expectation for expansion stage of the study.
Adnan Butt: And Ali, what would inform the decision on going into the expansion cohort? Is there are specific criteria that you’re looking for.
Ali Fattaey : So there are -- I’ll give you that in general and then how it will work for CA170. As I tried to point out, there are really four parameters in a sense that we look for in general, in clinical study, which include the exposure PK, pharmacodynamic activity markers and of course any signals of clinical activity. That's what we use to help us guide what the recommended safety dose should be. Potentially what types of cancers we would intend to expand into and of course the timing of the expansion for this study. In the case of CA170, we expect those same four parameters of exposure, safety, pharmacodynamic activity and signals of clinical activity to help us guide that as well. Since we've had from the preclinical studies that we've conducted and the GOP toxicology studies, the drug has been -- Has had a very good safety profile. Our expectation is that the parameters of exposure, pharmacodynamic activity mainly in this case we would refer to immune activation in patients and then of course any signs of clinical activity that correlates with that to drive and guide the expansion. The initiation of the expansion and also the recommended dose for that expansion. That’s what we are at this point looking for Adnan.
Adnan Butt : Okay, thank you. Just one on 170 before I get back in line. Will the company announce when the monotherapy study is fully enrolled. And am I correct it's an open label study, so are you blinded to the data or do you see the data?
Ali Fattaey: If you're referring to the CA170 Phase 1 trial was …
Adnan Butt : I’m sorry. Forgive me. It’s CUDC-907, sorry.
Ali Fattaey : Thank you. Thank you, Adnan. Yes, the study is open label. We are not blinded to the information that comes from the Phase 2 trial. It is a monotherapy trial that is treating patients only with CUDC-907 in that one arm. And so yes, we are not blinded to it and we would expect as I indicated, once we have sufficient information regarding the response rates as well as the durability of the benefits, which we expect to be, again in the first half of 2017, for us to use that information to communicate and discuss with the FDA for potential accelerated approval path for CUDC-907, but we are not blinded to it, to the data, and we look forward obviously to updating on that information when appropriate as well.
Adnan Butt: And then would you tell us when the study is fully enrolled, the monotherapy arm?
Ali Fattaey: The monotherapy arm, so the study as I indicated is enrolling up to 60 patients with monotherapy CUDC-907. And I think what we would indicate is when we have sufficient data from this study to merit going forward with discussion with the FDA. That's the guidance -- that's the best guidance that we would give at this point.
Adnan Butt: Okay, I'll get back in line. Thank you.
Operator: Our next question comes from Peter Lawson with SunTrust Robinson. Your line is now open.
Peter Lawson: Morning Ali. Just on 170, there no limiting As is very encouraging. Is that going to speed up dosing or enrolment in any way? And what number of patients do we have currently on trial?
A – Ali Fattaey: I apologize. I didn't quite hear the first part of your question, Peter.
Peter Lawson: Just CA-170 no limiting As that you've seen, is that going to speed up dosing in any way or enrolment?
A – Ali Fattaey: It’s a good point. As I indicated, our expectation is in general that CA170 C is going to behave similarly in patients as it has in multiple non-clinical models that we’ve ran and tested the drug in, in this case. The absence of limiting adverse events does help us in the context of being able to dose escalate in a very timely manner, and in an expeditious manner. And I believe that it does help us to be able to enroll patients in each one of these escalating cohorts as rapidly as is possible. So I wouldn't say it accelerates it beyond what is possible, but it certainly helps us get it done as rapidly as is possible in each of the dose escalations. I'm sure you're familiar with the requirements for clearance of a particular dose during your cycle of treatment before we can accelerate to other doses. At this stage I would say we're accelerating as rapidly as is possible within the timeframe of the study.
Peter Lawson: Thank you. And the number of patients you have currently on trial, is that I think if maybe 2 or 3 patients who are already on. Just thinking about those 6 week periods you have that’s between dosing.
A – Ali Fattaey: It’s a good question. I think we've discussed the design of the study for the first four dose cohorts or the doses that we would enroll. We've indicated that in discussion with the FDA, we reached an agreement and they allowed us to enroll a single patient in each of those 4 cohorts, provided that of course we don't see any adverse events in those patients that may require additional patients to be enrolled in each of those doses. The study started in June, so we've been increasing with a single patient dose cohorts until now.
Peter Lawson: Got you. Thank you. That's great. I’ll get back into the queue. Thank you so much.
Operator: Our next question comes from Brian Skorney with Robert Baird. Your line is now open.
Brian Skorney: Hey, good morning guys. Talking about CA-170, maybe you can just refresh our memory in terms of what you saw in the animal models in terms of oral bio-availability, and it would seem even at this stage you would have some PK data to indicate how predictive those models were in terms of bio-availabilities. So I was hoping maybe you could just frame it up from the pre-clinical data and just qualitatively discuss if it's in line with those animal models, or if the oral bio-availability is any different than you would have expected.
A – Ali Fattaey: Good morning, Brian, and thank you for the question. So we have tested and I think we’ve presented that at least in some presentations before. CA-170 in rodent models, in multiple rodent models, in the dog model, and also in non-human primates, in monkeys. And in all of those models, it has had a very similar pharmacokinetic profile that we've tested. Obviously we've also treated patients now, human patients and have continued to dose escalate. And as I indicated, our expectation is that CUDC-907, based on our assessment of nonclinical shouldn't have any different behavior in patients. That’s what our modeling tells us. I would also like to maybe potentially at this point indicate that we do intend to present at the SITC conference, which is next week. Occurring next week in Maryland. The SITC conference, immunotherapy conference. And we may present some of that, this information at that conference as well.
Brian Skorney: Okay. So I guess the question was really on the clinical side of things. Is the PK that you're seeing from the initial patients similar to the road dog and non-human primate model?
James Dentzer: I think that's what I was indicating that we would like to present next week at the SITC conference, give you a sense of how the clinical PK compares with the nonclinical PK.
Brian Skorney: Okay, thanks.
Operator: [Operator Instructions]. Our next question comes from Christopher James with FBR & Co. Your line is now open.
Christopher James: Hi good morning guys. Thanks for taking the question. Most of them have been answered regarding CA170. Let me maybe pivot to 327, I think you said IND filing mid-2017. Can you comment on some of the gating factors for that filing and what additional work needs to be completed? Thanks.
Ali Fattaey : So thank you Chris and good to have you on the call as well. In general, what is required for us to get it and maybe I'll describe what we -- What a development candidate really means in the collaboration for us and also for Curis. In this regard, all of the preclinical profile of the compound has been addressed for us, including ex vivo analysis, the potency of the compound, the selectivity and vivo activity of the compound and models, its PK profile and some of the initial safety. Those are the things that obviously we look at fairly closely and those are the parameters that guide for us to select one compound or another, from a particular program, in this case. And for 327, that's also been things that have been assessed and examined, in order to select 327 as the right drug candidate that targets PDL-1 and TIM3. Now in terms of what's remaining to be conducted prior to IND filing, the predominate amount of work that's required to be completed are the GOP toxicology studies, which also requires manufacturing of the drug at sufficient scale in a GOP form. And also of course manufacturing of the drug in a GMP form for preparation for the human testing of the drug. Those are really the two main remaining items to be conducted, which is manufacturing as well as the GOP toxicology studies. Majority of the nonclinical assessment of the drug has been conducted already.
Christopher James: Great. Thanks Ali, I'll jump back in the queue.
Operator: I'm showing no further questions. I would now like to turn the call back over to the CEO Dr. Ali Fattaey for any further remarks.
Ali Fattaey : Yes. Thank you very much and thank you for joining the call this morning for our earnings update. I also want to thank everyone who's been involved here at Curis, particular the teams in our nonclinical and in our clinical team, as well as all the teams that contribute to our progress with our drug candidates, as well as running the company. I also want to thank our partners, in particular Aurigene and Genentech and Roche, which are both very fruitful collaborations for us. I also want to thank our treating physicians and investigators who participate in our clinical trials and have their trust in our drugs and in us to treat their patients with our drug candidates. And mostly I would like to finally thank the patients and their families for participating in our trials and making all of the results that we see happen, so that we can get our drugs potentially registered and made available to a broader population of patients. So thank you.
Operator: Ladies and gentlemen thank you for participating in today's conference. You may all disconnect. Everyone have a great day.